Operator: Good morning, ladies and gentlemen and welcome to the Paya Holdings Inc. First Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to Mr. Matt Humphries, Head of Investor Relations at Paya. You may begin.
Matt Humphries: Good morning, and welcome to the Paya first quarter 2021 earnings conference call. Before we begin, let me remind everyone that today's discussion will contain forward-looking statements based on our current assumptions, expectations and beliefs, including financial guidance, the growth of Paya business, our objectives and business strategies, as well as other forward-looking statements. Please refer to the disclosure at the end of the Company's earnings press release and Form 8-K filed with the SEC today for information about forward-looking statements that will be made or discussed on this call. All statements made today reflect our current expectations and we undertake no obligation to update any statement to reflect the events that will occur after this call. You can learn more about the specific risk factors that could cause our actual results to differ materially from today's discussion in the Risk Factors section of the Company's Form 10-K filed with the SEC on March 8, 2021 and in subsequent periodic reports that the Company files with the SEC. Also during the call, we will discuss certain non-GAAP measures of our performance. GAAP to non-GAAP financial reconciliations and supplemental financial information are provided in the earnings press release. In the 8-K filed with the SEC. This call is also available via webcast. You can find all the information I have just described in the Investor Relations section of Paya's website. Please note, we've posted a supplemental first quarter 2021 presentation to the Investor Relations section of the Paya website. Joining us on the call today are Paya's CEO, Jeff Hack; and CFO, Glenn Renzulli. Following their prepared remarks, we will open the call to your questions. With that, let me turn the call over to Jeff.
Jeff Hack: Thank you, Matt, and good morning, everyone. Thank you for joining us today as we discuss our first quarter 2021 financial results and our recently announced acquisition of Paragon Payment Solutions. The Paragon acquisition marks our fourth acquisition, which follows our playbook of executing strategic M&A of integrated payment providers in attractive verticals, serving as a powerful complement to our organic growth strategy. Let's begin with a discussion on the Paragon transaction, and then we'll turn to our quarterly results. Paragon is a growing integrated payment solution provider based in Tempe, Arizona, that focuses primarily on serving the unique needs of the non-profit and healthcare verticals. Paragon brings to Paya some terrific partners and unique capabilities that complement Paya's existing solutions in these verticals. Annual payment volume is approximately $1.5 billion. And importantly, Paragon has been one of Paya's distribution partners since 2011. Similar to Paya, Paragon has a robust omni-channel offering, a partner-centric distribution model, a payment agnostic platform, including ACH and a high card-not-present mix, which makes this a highly additive acquisition. Given our long-standing relationship, we have a very solid understanding of Paragon's business model, capabilities, talent and culture. The non-profit and healthcare verticals Paragon primarily serves are very attractive to Paya as they are still highly underpenetrated from an integrated payments perspective and continue to grow at a double-digit annual rate. With an attractive roster of growing ISV partners, the acquisition will expand Paya's existing ISV partnership base, providing additional opportunities to drive penetration rates higher and continue to elevate the Paya brand within these verticals. All told, the acquisition of Paragon allows us to further expand and strengthen our strong position and capabilities in these key verticals, while positioning us to deliver future growth. Going forward, as we have in past transactions, we're focused on reinvesting the highly visible synergies back into sales and marketing, which will accelerate the growth at Paragon and allow the business to naturally scale, while delivering accretive returns. Glenn will cover the financial details shortly, but suffice to say, we're excited about this transaction and will look to leverage Paya's existing infrastructure and capabilities to accelerate Paragon's growth. Our integration efforts are well underway, and we're making solid progress despite closing the transaction a few short weeks ago. At the same time, our pipeline for accretive near-term strategic deals remain strong. Combining this actionable pipeline with the successful capital raise we completed on March 22, we have the flexibility and the capacity to accomplish additional strategic M&A to further accelerate our growth strategy. Now let's review Paya's strong first quarter results. Payment volume grew 24% in the first quarter to $9.5 billion, led by 62% volume growth in our proprietary ACH solution and 6% growth in card volume, even with one less business day in the period versus 2020. We saw notable strength in key verticals led by B2B and government. Total revenue grew 12.4% to $55.3 million, primarily driven by strong ACH growth and solid momentum in our integrated card business. Adjusted EBITDA grew 40% to $14.8 million, while adjusted EBITDA margins expanded 520 basis points year-over-year to 26.8%. It is worth noting that the year-over-year growth rates are even more impressive, given that Q1 2020 was a strong quarter with minimal pandemic related impacts. Now I want to share with you some of our recent product innovation that highlights the focus we have on delivering value-added services to our partners and clients. As Sage's, US preferred payments partner, we released advanced new features that enhance the Sage 100 and Sage Intacct solutions, supporting both card-present and card-not-present transactions that increase user productivity, while deepening our integration into Sage's software suite. Specifically, we introduced new enhanced customer portals and e-invoicing capabilities for Sage 100 users, allowing for further automation of the collection and reconciliation process for card, ACH payments. We also delivered turnkey EMV capabilities via Paya's cloud EMV solution to Sage Intacct users, which reduces hardware setup and compliance complexity. We take great pride in our approach to delivering tailored solutions to our partners. And as such, we also delivered a new merchant boarding solution this quarter. The solution offers boarding optionality, giving our partners enhanced flexibility in how they want to engage with their customers. By offering a more streamlined and efficient experience, our partners can accelerate their speed in monetizing payments, while also delivering a higher level of satisfaction for the end user. And finally, we went live with our new modern citizen-facing [ph] municipal portal, featuring an intuitive UI and enhanced tools and features built off our flagship Paya Connect solution. This continued innovation and focus on customer experience continues to be a hallmark of our approach at Paya and serves to differentiate ourselves in the market. While these new features and improvements are vital in driving adoption and deepening penetration, our go-to-market efforts remain essential to deliver return on these investments. Recently, we launched and scaled numerous engagement campaigns with some of our key partners as we focus on accelerating penetration levels within our partners' customer base. In just the first month of one of these campaigns with a select non-profit partner, we saw a threefold increase in the number of new clients signed. We've also dedicated additional resources to co-marketing with newer partners, focusing on accelerating partner production. And finally, in our government vertical, we had some noteworthy wins against long-established and well-known incumbents that are currently in various stages of implementation. These actions and recent wins will lay the foundation for continued growth over the next few years, while further deepening our integration within our partners' software suites. With that, I'll turn it over to Glenn to walk you through the financials in more detail as well as cover our outlook for 2021. Glenn?
Glenn Renzulli: Thanks, Jeff, and good morning, everyone. As stated, we're pleased with our first quarter financial results and the momentum we're seeing in the business. Total payment volume in the first quarter was $9.5 billion, an increase of 24.1% year-over-year. ACH volumes up 62% with ACH transactions growing 34%. Card volume growth also accelerated in the quarter, up 6% versus the prior year. Importantly, we saw strong growth in our B2B and government verticals. Our volume performance was notable given we had one less business day in the quarter versus the same period last year. And as a point of reference, Q1 is typically our lowest volume quarter of the year. Total revenue in the quarter was $55.3 million, an increase of 12.4% versus last year. From a segment perspective, Integrated Solutions revenue was $32.9 million, up 12% year-over-year, led by growth in our ISV channel and our government vertical. Payment services revenue was $22.4 million, up 13% year-over-year, driven by broad strength within our ACH solutions, combined with a full quarter benefit from a large ACH conversion. Gross profit for the quarter was $29.1 million, up 18.2% year-over-year with gross margin of 52.7%, up 260 basis points. Integrated Solutions gross profit of $18.2 million was up 17% with gross margin expanding 260 basis points to 55.3%, driven by positive contribution from TPG and favorable mix. Payment services gross profit of $10.9 million was up 19% with gross margin expanding 240 basis points to 48.8%, with ACH continuing to drive gross margin expansion in our Payment Services segment. First quarter adjusted operating expenses came in at $14.3 million, as expected, as we focused on building out our talent to support future growth while layering in incremental public company costs. For the second quarter, we expect to see operating expenses step up moderately due to incremental expenses related to our Paragon acquisition as well as certain public company costs. We also expect certain expenses to layer back in that were temporarily reduced in 2020 due to COVID. Adjusted EBITDA in the quarter was $14.8 million, up 39.6% over the prior year. Adjusted EBITDA margin expanded 520 basis points to 26.8% as we continue to see favorable operating leverage as our business continues to grow in scale. Finally, GAAP net income for the quarter was $1 million versus a loss of $0.6 million in the prior year. Adjusted net income was $9.2 million for the quarter. Regarding our balance sheet and statement of cash flows, at the end of the first quarter, we had $134 million of cash and $228 million of gross debt, with a net leverage ratio of 1.65. Our cash position reflects the proceeds from the primary equity offering that was completed in March, but excludes cash paid for Paragon, subsequent to the end of the quarter. With the March equity offering, we raised $117 million net of fees, further strengthening our balance sheet and giving us more flexibility to pursue accretive M&A. You should expect us to continue to focus on strategic M&A as a key pillar of our growth strategy going forward. Net cash provided by operating activities in the quarter was $3 million. And finally, our share count at the end of the first quarter was 126.7 million shares outstanding, inclusive of approximately 5.7 million earn-out shares that have not yet met issuing thresholds. Our supplemental earnings presentation provided this morning contains an illustrative walk-through of our share count at the end of the quarter as well as at various share price levels in order to provide additional detail on our equity capital structure. Turning to our recently announced acquisition of Paragon Payment Solutions. I want to echo Jeff's excitement and provide some financial details on the transaction. First, the total consideration paid at closing was $27.5 million, comprised of $20 million in cash and $7.5 million in Class A common stock. Also, there is an earn-out in place of up to $5 million, consisting of half cash and half stock that is payable upon the achievement of certain future growth objectives. For full year 2021, we expect a high-single-digit million-dollar revenue contribution from Paragon. We also expect the transaction to be net neutral to adjusted EBITDA in 2021. We expect Paragon to be highly accretive with visible synergies, which we are already making solid progress against. As such, for 2022, we expect the transaction to contribute approximately $2.5 million in fully synergized adjusted EBITDA. Turning now to our revised full year 2021 financial guidance. We are raising our total revenue range to $242 million to $248 million, reflecting 19% growth year-over-year at the midpoint, driven by a combination of overall business performance and the incremental Paragon contribution. Our gross margin and adjusted EBITDA ranges remain unchanged from prior guidance. That concludes my prepared remarks. I'll turn the call back over to Jeff to close this out. Jeff?
Jeff Hack: Thank you, Glenn. We've started the year off on a strong note and have accomplished much in a short period of time. While we're pleased with our recent financial performance and excited about our acquisition of Paragon, we remain focused on the opportunities ahead. We're committed to delivering against our growth initiatives, and you should continue to expect us to seek out further inorganic opportunities to complement our attractive organic growth profile in terrific high-growth end markets. Once again, I'm reminded that the support of our employees, both existing and our new colleagues from Paragon, our software partners and our shareholders reinforce our ability to quickly execute in order to maximize value creation. We appreciate your continued support, and thank you for joining us today. With that, operator, we're ready to take questions.
Operator: [Operator Instructions] Our first question comes from the line of Robert Napoli from William Blair. Your line is now open.
Robert Napoli: I was - I'm wondering if you could give a little color on how the business trended through the quarter and then into April, like - and I know your business, Jeff, was not nearly as affected as many other companies by the pandemic, but did you see - have you seen any acceleration in trends or any notable items you could call out related to economic acceleration?
Jeff Hack: Glenn, you want to - we'll take - Good morning, Rob and thank you. Glenn, you want to speak to the trends through the quarter?
Glenn Renzulli: Sure. Happy to do that. This is Glenn, Bob. Yes, we certainly did. I think, like you said, it's important to note that our trough was kind of better than others last year, right. But we saw a great - good momentum coming out of the Q1 quarter. So March was the highest month in the quarter and saw good trends. And then for April, we actually, in our card business, saw volume north of 30% year-over-year. So we were - we did obviously have impact last year, right, which aids then. We continue to see kind of a good start to the second quarter with a 30%-plus year-over-year growth in card in the month of April.
Robert Napoli: Great. Okay. Thank you. Appreciate that. And then you called out the B2B segment and the government segment as areas of particular strength. Any sub verticals in there that stood out for you?
Glenn Renzulli: Yes, sure. Happy to take that one as well. This is Glenn. Yes, no, I think the ones that are - look, I think everything seems like it's improving across the board, which is great. The contractor construction side, the hardware equipment supplier part of our business on the B2B side is certainly continuing to see acceleration. That's aided by some of the macro things going on, right, when you think about housing and some of the spend going on in the manufacturing side, that's, I think, helping that. The other components, we have some really strong partners in that area, which also helps. But that's probably the - one of the larger highlights at the moment as far as momentum.
Robert Napoli: Thank you. And then just last question on the M&A front. I mean Paragon being a partner, that makes it an easy integration, I guess, and a low-risk transaction. Is - are many of the transactions that you're looking at partner related? Is that the key hunting ground, if you would?
Jeff Hack: Bob, this is Jeff. That's a very good question. The vast majority of the pipeline are not of that type, but there are some terrific opportunities within existing partner bases, and we obviously pursue those enthusiastically. It's a nice, if you will, it makes a good transaction even better. If you really understand their business, you understand the quality of their solutions, the quality of their team and obviously, understand from an integration point of view, how to make the most of the asset. So they do present and there are certainly some in the pipeline, but not the majority of the pipeline.
Robert Napoli: Thank you. Appreciate it.
Operator: Thank you. Our next question comes from the line of David Togut from Evercore ISI. Your line is now open.
David Togut: Thank you. Good morning. If we exclude the high-single-digit million revenue contribution anticipated from the Paragon acquisition, is there any change in your 2021 revenue guide, recognizing that high-single-digit could be anywhere between $7 million and $9 million?
Glenn Renzulli: Yes. No, good question. Thanks, David. This is Glenn. No, no change. That's essentially what we're doing is kind of reiterating our guidance and just layering in the impact from the acquisition.
David Togut: Thanks for that. And then is there any apples-to-apples change in the take rate, either versus the fourth quarter of 2020 or Q1 of 2020, if we adjust for the 62% growth in ACH volume, in other words, on an apples-to-apples basis is take rate changing at all?
Glenn Renzulli: Yes. No, good question. Thanks. This is Glenn again. Yes, take rate improved in card for the quarter, both sequentially and year-over-year. So we didn't see a huge lift there because it really wasn't a large pricing quarter for us, but we did see a slight uptick in card spread, which was encouraging. And on the ACH side, from a spread perspective, pretty much stability when you think about it sequentially from Q4 to Q1. So you kind of see it in the overall spread number as well.
David Togut: Great. And then how should we think about potential revenue contribution from the accounting suite partnership over the next 12 months? Is that materially positive to the revenue outlook?
Jeff Hack: So David, it's Jeff. So generally, I think you know this, you will not hear us speak to the individual contribution for - of any one partner. I would say, look in totality at the deals that we have announced, and we've talked about the fact that some of them, depending on the nature, can ramp as quickly as the first quarter post signing, larger deals can take two or three quarters to respectively layer in.
David Togut: Understood. And just finally, you called out strength, Jeff, in the acquisition pipeline. Any specific call-outs in terms of likely near-term closure of acquisitions, any specific verticals that stand out?
Jeff Hack: Yes. So great question, David. It's Jeff again. A couple of things. First of all, the pipeline itself is very strong. Within the pipeline, the next leg is how much of that pipeline is actionable in the near term. And I would say that feels about as strong as it has in a long time. So actual pipeline good. In terms of the categories, it runs the gamut, it runs the gamut of size. It runs the gamut of traditional strikes on integrated payments. There are some terrific, deeper software capabilities that meet payments in the pipeline. And then obviously, there's always some really unique assets that present as well. So it really is across the board strength. And I can't point to anything in the pipeline that I wish were fuller. If the quality is good, the quantity is good, the actionability is good, and we are very excited and focused on finding the next right opportunity and getting it done.
David Togut: Understood. Actually, just one quick final one. With economic reopening, you and Glenn called out strength in B2B, especially construction. But are there any call-outs that you see in terms of consumer behavior changing with economic reopening? Are you seeing even more of a shift towards your online business? Any call-outs in terms of card-present volume?
Jeff Hack: So I'll let Glenn speak to the volume item itself. But I would remind folks that our card mix today is already 87% card-not-present. So that majority of our business is geared to middle market business-to-business types of activity rather than the in person. And I would also remind you, even within card present, if it's paying a utility bill, just to pick a simple example, it's not really driven by the market cycle. So overall, are we a beneficiary of consumer physical reopening? We are on the margin, but it's not a primary driver of our momentum.
David Togut: Yes. Okay, thanks so much.
Operator: Thank you. Our next question comes from the line of John Davis from Raymond James. Your line is now open.
John Davis: Hey, thanks. Good morning, guys. I just wanted to start off with a couple of follow-ups on Paragon. I apologize if I missed it, Jeff and Glenn, but did you guys give a growth rate for how fast that growth is or that business is growing today and maybe expectations for what it could look like under Paya?
Glenn Renzulli: Yes, this is Glenn. We didn't disclose that, John. But it is going to be a growing area for us. They bring some really nice feature sets and partner relationships on the ISV side. So we're confident that we can - look, it was growing coming in to Paya, and we're confident we can kind of accelerate that. They have a pretty really strong commercial team there that we're looking to tap into as well. So we're excited about it. And I don't think we're going to give you the exact growth number, but we're - we think it can grow nicely for us.
John Davis: Okay. And then on the synergy side, is the $2.5 million, is that all cost or any sort of revenue synergies would be upside? And then I think you've already said you're kind of well on your way on integration. So any chance some of those synergies could slip into this year? Because I assume it was the business unprofitable before and so upside synergies this year would just get you to breakeven? Or just maybe talk a little bit about that would be helpful.
Glenn Renzulli: Yes. That's a good question. This is Glenn again. The answer is yes, they're primarily on the cost side. So the good news about that is there might be high visibility, right? And to your question about this year, I think, yes, I think it's a layering impact this year. So we're trying to be conservative and make sure we don't get too aggressive in the time line for those synergies. But again, the visibility is strong. We're highly confident in what that's going to mean to next year's numbers, and it will be a process this year, and we'll see kind of where we get through - get to in the second half from a synergy perspective. But we're - we have a good line of sight into it.
John Davis: Okay. Great. And then maybe another one for you, Glenn. Just organic growth. I think it's about 11% in the quarter. My math suggest is to get to your guide, that kind of needs to step up to roughly 16% for the rest of the year. And so I'm just trying to think about, on average. So how should we think about the cadence of organic growth after laying in these acquisitions for kind of 2Q through 4Q? Because your comps actually get more difficult, which I think is different than most of your competitors.
Glenn Renzulli: Yes. No, good question. Look, I think like we said, the second quarter has already shown some good momentum, right? It's early in the quarter, so we want to be careful with that. But so far, so good there. We also have some of our biannual pricing actions that take place as well in April here, so that will provide some nice lift. We have our government partner, one of our larger government partners, layering in, right, throughout the year. So we're going to see some good momentum there as well. So yes, each quarter, we're going to continue to see the step up. We've talked about Q1 being a low seasonal quarter as well, which helps on the sequential. So we still have a good line of sight into and feel good about kind of where we put our guidance.
John Davis: Okay. And then last one for me. Jeff, maybe this is a higher-level question. If I think about ACH, specifically, I think it's really important in some of your verticals, which may be a little bit different than some of the other larger public peers. So just talk about your ACH offering, how that's competitively differentiated and where you're kind of winning that ACH share because people think ACH, I think, legacy, but a lot of - you're replacing a lot of checks in some of these verticals like government education. So I just want to understand your ACH offering and how it sets up competitively in the verticals in which you play?
Jeff Hack: Yes. Thanks, John. That's a great question. This is Jeff again. So think of ACH in two different ways. So first of all, I think you all understand the breadth of our middle market franchise, larger average ticket in the verticals we always talk about. So for many of those folks, the ability to bolt-on ACH into the integration to solve for the larger tickets that are never going to be cost-effective on a card. That is prime hunting ground. Because you're basically widening the net of an existing partner and existing integration and allowing them to both serve more customer needs, their customer needs as well as monetize payments. So think of that as integrated ACH, the companion to integrated card. So that's prime hunting zone and folks continue to understand how that works. That is a classic adoption curve that you would expect. And then secondarily, John, but just as important, ACH as a solution, either stand-alone or as a companion to card, but not to the same integration, continues to be very strong. I mean, maybe even stronger than we expected as folks start to tune into that and what you might ask, why would people do it that way? Well, there are a lot of people today who have a card model in place and want to add ACH, and there are a bunch of reasons why they might not always be in the same integration. And so that stand-alone ACH is showing a lot of momentum, and it's really for the reason that you just mentioned, there's still all this physical invoiced physical check. And if you were skewed to very large ticket, you might never have been a card acceptor. You were just on paper. So nice movement from folks who are adopting ACH on its own as opposed to as part of a broader offer. So very good momentum on both sides of the coin. And from a capabilities point of view, I think you asked about this is we made a very big decision a couple of years ago when we were building Paya Connect to put ACH alongside card acceptance in the full tech stack or solutions ecosystem. So you can take the friction out of boarding, you have enhanced reporting portals, you have flexible funding. So the idea is that an ACH acceptor should have available to them all of the same great technology that is being offered or frankly has been offered on the card side. And we think that's a big differentiator for Paya.
Operator: Thank you. Our next question comes from the line of Mike Grondahl from Northland Securities. Your line is now open.
Mike Grondahl: Hey, guys. Thanks and good morning. Two quick questions. One, when you talked about some of your marketing with this non-profit client, you kind of said that you got 3 times the new client engagement or sign-ups. Could you kind of describe that co-marketing that you do that marketing process? And then secondly, any updates to the sales force to call out?
Jeff Hack: Great. Hey, Mike, it's Jeff again. Two good questions. So the first one on the co-marketing, you've heard me say many, many times before, the single biggest opportunity at Paya is the further penetration of the installed base of our existing partners. By far, the biggest tailwind. And the way you get at that beyond the obvious continual enhancements in your solutions and offers, which is given, is to really embed our resources marketing tools, marketing content, marketing talent in the efforts of our partners. So that's a classic ground game partner by partner to understand their marketing calendar, how do we stand tall within that. In some cases, we, in fact, drive the marketing calendar and think about campaigns, think about incentives, all the kind of stuff that gets that attention to drive adoption. So it is really executing bread and butter basics over and over again, partner by partner. And the reason we called that out is a very strong start to the year in that kind of partner engagement. To your second question on the sales force, no major updates to speak of, but I will remind you of a couple of things. When we do things like the Paragon acquisition, importantly, we - there will always be operating synergies. And we plow [ph] those back into sales and marketing. That is our growth acquisition playbook. So as it relates to Paragon, we have now inherited or brought on some amazing sales talent. And it's one of the benefits of the fact that Paragon was operating in a similar way to Paya, obviously, with particular strength in healthcare and not-for-profit, is experienced salespeople, who really understand the value prop and can carry that dialogue through the client is a very big deal. So it's one of the things - I mean, I'm excited about a lot of things on Paragon, quality of the talent, both sales and other talent is a big part of it.
Mike Grondahl: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Craig Maurer from Autonomous Research. Your line is now open.
Craig Maurer: Yes, good morning. Thanks. I wanted to ask you a question about the way you're disclosing the business. I know a lot of ACH is integrated volume. And the way you're segmenting right now gives the impression that your old line payments business is outgrowing your integrated business, which isn't going to help your story. So I was wondering if you could tell us if you included integrated ACH in the integrated segment, what integrated versus non-integrated growth in the business would look like?
Glenn Renzulli: Yes. No, it's a good question, Craig. Thank you for that. This is Glenn. Yes, look, I think ACH, you're correct, there's some combination. And they're both integrated and kind of non-integrated or more traditional. The ACH business, I think we've disclosed kind of in our supplement the growth of that, which we're excited about. Yes, I don't think we're going to break out kind of the underlying components of payment services other than what we've disclosed in the supplement.
Craig Maurer: Okay. Thanks.
Jeff Hack: Craig, let me just add one thing on. Is - and I think I mentioned this on a prior call, segmenting is science and art, right, to make it the most useful. There's no perfect way to slice and dice it. If we had sliced it the other way, then you guys would have said, we're having trouble with yields in the combined segments. So we did it this way to try to give you guys a better understanding. Certainly, the biggest chunk of our business is the integrated card in and of itself. And we didn't want that in any way confused with overlapping payment methods, et cetera. So the intention was to try to be helpful to all of you. The second thing I would observe is, to the point about payment services in the segment and the story is, it also has great and growing margins. It also has very strong top line growth characteristics. So it's not a question of a good and a bad segment, right? It is a very fast growing, very strong margin segment and another segment that is also growing nicely and also has great and growing margins.
Craig Maurer: No, I understand that. I'm just making the point that it's a little misleading because I know there's a good portion of ACH that is integrated and pie connect and is flowing through there. So, but thank you.
Operator: Thank you. Next question comes from line of Joseph Vafi from Canaccord. Your line is now open.
Joseph Vafi: Hey, guys. Good morning. Just maybe focus on gross margin a little bit, which I think was pretty strong. I think, Glenn, you called out a few things there on favorable mix. And then we're talking a lot about ACH, but ACH as well. So just outlook on gross margin. I think you're also doing some price increases, but maybe perhaps that large government partner of yours is an attractive driver here as well. And then if ACH continues to grow like this, what's the implication there for payment services gross margin? And then I have a quick follow-up.
Glenn Renzulli: Yes. Thanks, Joe. This is Glenn. Yes, no, that's right. I think we're seeing really good trends in gross margin. A few drivers there. One, we talked about previously, the ACH growth is favorable to gross margin at a higher rate than our blended. So that helps. The TPG acquisition had more favorable gross margin as well compared to kind of our average. So that's also helped as well. And then, yes, we've seen a good mix in the quarter really without, again, I've mentioned before, not much - really not much of a pricing, not much in pricing initiatives this quarter in Q1, where that really comes into play in Q2. So to your point, that will also help margins a little bit. So yes, we're feeling good about gross margins. I think we're trying to be conservative in our guidance and not get too ahead of ourselves, but the trend is good there, and we're feeling good and see a lot of underlying drivers that are going to stick.
Joseph Vafi: Okay. And then what about Paragon gross margin, if -
Glenn Renzulli: Yes. No, good question. Yes, Paragon gross margins are slightly below our blended average. So that's another reason kind of just to make sure we're being careful with guidance, but not to the point where it would impact kind of the continued good trend we're seeing on a year-over-year basis.
Joseph Vafi: Sure. And then anything in the sales pipeline moving forward? I know it does sound like your large government partner win was a nice feather in the Company's cap here for this year. How does the pipeline look for maybe some of those larger deals out there? Thanks a lot, guys.
Jeff Hack: Yes, Joe, thank you. This is Jeff. So the pipeline for larger deals, as you would imagine, they are chunky. We are - I would say we are much more systematic about identifying those and working them. And I think, as you know, right, they take longer. But once you have them, you will have them forever, and they will be large. So we're very pleased with how that pipeline is building, and we are equally pleased at our ability to successfully prosecute those opportunities. So obviously, it takes longer for them to manifest in the P&L itself, and that's okay. So we're very excited about it. And of course, each opportunity builds on the previous successes as well, right? The more of those you do, the easier it is to get others to understand and embrace it as well.
Joseph Vafi: Yes. Great. Thanks, Jeff.
Operator: Thank you. Our next question comes from the line of Peter Heckmann from Davidson. Your line is now open.
Peter Heckmann: Hey, good morning. Most of my questions have been answered, but I just thought I'd check in and just trying to think about the seasonality. Any seasonality it may have changed last year between timing of payments, maybe tax payments, anything that we should be considering that may have been in the second quarter last year that won't be in there this year or wasn't in there last year normally is?
Glenn Renzulli: No, good question. I think the largest headline is the one we mentioned, right, one less business day this quarter versus last year's quarter. So that muted the growth a little bit. More would have been slightly higher without that impact. Good question on the tax statements. We haven't spent a lot of time looking at that. It is a component of our business, but not enough really probably to drive any kind of substantial year-over-year variance. But that should have a little bit of benefit in Q2, if there's any deferral of tax payments. Most of our tax payments, however, are at the property, municipal level, which, for the most part, I think, don't have much in terms of deferral. So probably not much impact there.
Peter Heckmann: Okay. Okay. And then just thinking about, again, the cadence through the year, I don't want to pin you down too hard on quarterly numbers. But I guess, based on your read of the business is the consensus for the second quarter in the right ballpark, given kind of the layout of EBITDA for the rest of the year?
Glenn Renzulli: Yes. No, good question. Yes, look, Q2 jumps up seasonally. So that trend is right, right, when you think about the larger jump that's kind of embedded in the numbers in Q2. We feel good about that, and that matches kind of the seasonal flow. So yes, no, I think the numbers are in line. I think we did call out the cost side, right. With some of the things for the - COVID comment really is around things like travel, right. You do have travel starting to get layered back in a little bit, which is really a net positive for us, right? And all of us getting back on the road and on the commercial side, really, increasing momentum even there. So we're really excited about that. But those things have a little bit of an uptick in cost. Obviously, Paragon layering that in as well is going to have some impact. And I think the - the year-over-year on public company costs, right? We still have a couple of quarters of that getting layered in when you think about prior year comparisons. So - but yes, look, I think that's probably the best commentary I can give on it. And then the last - maybe the last point would be gross margin. I think we're looking good there. So any offset on the cost side, I think, is going to be picked up on gross profit.
Peter Heckmann: Yes. I got you. Good to hear. Thank you.
Operator: Thank you. Our next question comes from the line of Timothy Chiodo from Credit Suisse. Your line is now open.
Timothy Chiodo: Thank you. Good morning. On ACH, so we spent a lot of good time on the call today, digging into that opportunity. Maybe you could just talk a little bit. You guys have done a great job of laying out what you think the card opportunity is, your TAM there in some of your presentation materials. When you think internally about within your core verticals, what is the multiplier on that opportunity for ACH? I know it might be a harder thing to put a number on, but when you guys talk about it, how much bigger is that opportunity? And then I have a quick follow-up on some of the deals that you mentioned that you won away from some of the larger incumbents.
Jeff Hack: Hey, Tim, it's Jeff. Thanks. And that's a great question. Here's how we think about ACH. I think you know this. The reports of the tens of trillions of dollars of TAM that are right for electronic payments that today are physical paper and physical check, you start there. The cardable portion of that is by far the smaller half, if you will, much, much smaller. So ACH from a payments volume perspective, and this is because in the middle markets where we play, as you know, ticket sizes get larger, ACH is more suitable. And so it is many times larger than the card opportunity. And then, of course, importantly, the way to capturing value on that is not through the commodity processing, but it's through the integrated experience that also facilitates both the front-end order management, the back-end accounting and reconciliation. So as you can tell, and we've been consistent on this from the get-go, we are incredibly excited by it. We see our capabilities is differentiated. And pace of adoption, obviously, is the great unknown. But tons of headroom, and we couldn't be more excited, and we will continue to invest heavily in that.
Timothy Chiodo: Okay. Excellent. Thank you. And then the follow-up was around - you mentioned during your prepared remarks that there were a few recent partners that you want away from some of the larger merchant acquirers. Maybe you could just put a little more on that, just bring it to life in terms of how that came about, what the RFP process was like and how you - what some of the differentiating factors that were, I guess, that were - that helped you win that business?
Jeff Hack: Yes, Tim, great question. So the first notion is, by definition, we are now talking about competitive seals [ph] as opposed to first-time adopters. And as you know, many of our newer partners are first-time adopters to integrate payments. So with competitive seals on two trends or two themes, that we hear over and over again. Lack of continuing the pace of technology enhancements in support of the partnership. So people may get them signed up, but over a few years, eyes wander elsewhere. They take partners for granted, and they do not keep pace. And then the second is, is the 360 customer experience. So what I mean by that is, and you've heard me say this before, Tim, if technology change management, it's joint incident management, customer support at its most basic level is you have to have a commitment to understanding the partner, their software, the nature of their integration with our integration and the end user base. And so it's service. So basically, when we get the call and somebody is talking about swapping out a provider, the net result is they've been at it for a few years, and they have very low penetration. So we will often hear about single-digit penetration after three years' time, which is a disappointing result. And then you work back to the solutions and the support to take a single-digit penetrating partner and figure out how together you're going to move it into the 30s or 40s percent of penetration, which is ultimately why these software companies are doing this. So the themes are very similar. In the end, you prevail on tailoring the solutions, you prevail on demonstrating, and this is not the pitch book, right. This is referenceable [ph] in other things that your support model is really respective of the software suite as opposed to what you would think of as the traditional customer support of commodity merchant processing.
Timothy Chiodo: Great. Thank you so much, Jeff. Yes. That absolutely brings it to life. That's exactly what we're looking for. So I appreciate the time, and thanks for the questions.
Jeff Hack: Thanks for the question, Tim.
Operator: Thank you. Our next question comes from the line of Bob Napoli from William Blair. Your line is now open.
Robert Napoli: Hi, thank you for the follow-up question. Jeff, you had called out the new merchant onboarding solution upfront and knowing that your biggest opportunity is the penetration of the installed base. I was wondering if that is an important tool in improving that penetration rate.
Jeff Hack: Great question, Bob. So I want to answer this in two ways. The first is, it is very important because the specific enhancements we deployed make the boarding experience inside of our partners' ecosystem are more natural. So it doesn't feel as much like a separate event from other cross-selling of services that they are providing - or frankly, the software sale itself. So that is a big deal. And we're very excited about the recent enhancements and so are our partners, and they helped us, frankly, inform how it would look. Flexible, by the way, so that it's relevant to each partner the way they want to consume it. So that's point one. But point two, what I do want to say to everybody on this call, you'll hear me talk about boarding again in a few quarters. And then again, in a few quarters. So boarding is one of the holy grails of this business. It is a continuous investment in those experiences, and the flexibility and the tailoring for unique use cases and verticals. So I don't want you to think in terms of a single, very exciting boarding event as being the end of an item [ph]. Running a real growth business like we do for a living, we will be investing in this part of our capability for the rest of our lives, more or less at a BAU state, if you know what I mean.
Robert Napoli: Yes. Thank you. That's really helpful. The card improvement that you called out, Glenn, on - in the month of April, was that going to put upward pressure on the take rate? How much higher is the card take rate than the blended average? 30% growth in April was pretty eye popping.
Glenn Renzulli: Yes. No, good question. I think you know the card take rate is much more favorable versus the ACH take rate, right? You're talking in the 80 basis point level versus 20s on a spread basis. And as you know, ACH usually priced on a per tran basis. But no, the answer is no, it won't. It's actually the opposite. We have more favorable economics. And again, we have some of our pricing initiatives layering in as well. So we don't have any concern about spreads in the second quarter.
Robert Napoli: No. I think that, that would put upside as - my question is that put upside on spread is -
Glenn Renzulli: Exactly. Yes.
Robert Napoli: Yes, yes. And then the sequential growth in the integrated solutions, you should see stronger sequential growth in integrated solutions versus payment services in the second quarter?
Glenn Renzulli: Yes.
Robert Napoli: Yes. Okay, great. Thank you. Appreciate it.
Operator: Thank you. At this time, I'm showing no further questions. I would like to turn the call back over to Jeff Hack for closing remarks.
Jeff Hack: Great. Thank you, operator, and thanks, everybody, for joining us on this early Friday morning. Very pleased to be with you. I think you can tell from our remarks, we are very proud and pleased with the progress we're making, both in the organic growth efforts as well as, obviously, another great strategic, accretive transaction under our belts. We will always be trying for more. And hopefully, you hear a consistency in what we've been saying to you since we began speaking last summer about clearly setting out our objectives and meeting or exceeding those objectives every step of the way and really pleased to see that again in the first quarter. And we look forward to talking to you guys again soon.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.